Operator: Ladies and gentlemen, thank you for standing by. I'm Constantino, your Chorus Call operator. Welcome, and thank you for joining the Jumbo conference call and live webcast to present and discuss the first half 2025 financial results. The conference is being recorded. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Apostolos-Evangelos Vakakis, Chairman of the Board of Directors; Mr. Polys Polycarpou, CFO; and Ms. Amalia Karamitsoli, Head of Investor Relations. Ms. Karamitsoli, you may now proceed.
Amalia Karamitsoli: Thanks, Constantino. Good afternoon, everyone, and thank you for joining our call today. I will walk you through Jumbo's performance for the first half of 2025, highlight the main operational developments and then to share our outlook for the rest of the year. In the first half of the year, Jumbo sales grew by 8% reaching EUR 497 million. On a comparable basis, EBITDA increased by 7% to EUR 165 million and while net profit increased by 5% to EUR 117 million. Our gross margin came at 54%. This represents the strong growth franchise sales, which as you know, carry a lower margin than our own-operated stores. At the same time, our net cash position remained very strong at almost EUR 318 million. CapEx during the period was EUR 14 million. Let me also highlight the key steps we have taken so far. In March, we distributed EUR 0.4667 per share to our shareholders and EUR 0.50 share in July, underlying our commitment to return value to shareholder partners. We also opened our second store in Timisoara, Romania, further strengthening our presence in the market. In June, we launched our online store in Bulgaria, marking another important milestone to our digital expansion. In August, we completed the cancellation of the listing and the listing of 1.25% of our total shares. Year-to-date, we have also bought 2 leased store in Greece. Looking at the regional sales growth, which was up 9%. Cyprus was up 7%, Bulgaria by 2% and Romania up 8%. Franchise sales grew strongly by 52%, reaching EUR 38 million while e-commerce sales accounted for 2.3% of our total group sales. Our budget for the year is based on scenario that sales will grow around 8%, the Christmas season is expected to play as usually a decisive role. Other things being equal, our net income to flirt with the 2024 organic level. CapEx for the year may end up below EUR 60 million. Our dividend policy remains unchanged, 1/3 of the consolidated profit with potential of additional payouts depending on market conditions and cash reserves. At the same time, we continue to invest in the future, modernize our ERP system, strengthening our cybersecurity, introducing new AI tools. We also plan to add 2 distribution centers with a total investment of EUR 60 million to be completed in the next 3 to 5 years. Going forward, through steady steps, the group aims to open another 2 new stores per year, adjusting the pace of expansion to the conditions of each market. At the same time, we further strengthening our strategy by acquiring stores that are currently operated under lease agreements. To conclude, Jumbo continues to operate from a position of financial strength. This allows us to invest in growth, expand our network and at the same time, return value to our shareholder partners. Thank you all for your attention. Mr. Apostolos-Evangelos Vakakis will now take your questions.
Apostolos-Evangelos Vakakis: I'm all ears. Good afternoon.
Operator: [Operator Instructions] The first question comes from the line of Fani Tzioukalia with Euroxx Securities.
Fani Tzioukalia: A couple of questions on my side, please. First of all, could you please provide some color on the gross profit margin for the first half? And how do you see this evolving in the second half? Let's take it question by question so it's easier for everyone to follow.
Apostolos-Evangelos Vakakis: Your question is not very clear. What exactly are your asking?
Fani Tzioukalia: Okay. My question, let me rephrase then. So my question is that, could you please explain the gross profit margin drop on a year-on-year basis for the first half of 2025? And what do you expect towards the second half of the year?
Apostolos-Evangelos Vakakis: Who knows is the answer. I mean, we have given the actual number for the first part. And we have indicated that theoretically. The second part will make the margin slightly improved. And this is subject to market conditions that change every day.
Fani Tzioukalia: Okay. And behind the first half of 2025, any color on the reason why the gross profit margin has been weaker on a year-on-year basis in the first half?
Apostolos-Evangelos Vakakis: It's weaker because of the market conditions. I mean, we had events like the increase of the VAT in Romania. We have events like yesterday that one plane fall about a few years from our store in Eilat in Israel. And so we live in turbulent times. And as a result of that, it is more than logical to expect also some relative turbulence on our gross margin as well. This is in line with what we have said from the beginning of the year, as we have guided our business partners about the realities of the conditions we currently face.
Fani Tzioukalia: Okay. Regarding my second question then, could you please provide some color on the inventory buildup going forward? We saw some increase in the first half. And how do you see inventory building up going forward? And also, do you see any change in the product mix that is being sourced as well?
Apostolos-Evangelos Vakakis: The idea always is to defend the gross margin. And as a result of that, one way to do so is by looking more through into the product mix as well as new opportunities. But as I said, relative marginal fluctuations as we go through such a turbulent period, I believe it is within what we call margin of error.
Fani Tzioukalia: Okay. My third question would be with regards to your network rollout targets. Could you clarify the target in Romania because in yesterday's press release you indicated one store per annum and this is in contradiction with previous press release for a double network in the next 8 years. So can you please clarify on this deviation?
Apostolos-Evangelos Vakakis: What we have said and what we are trying to be aligned with is that we expect 2 to 3 stores per year as a rollout for the group. This may change for -- from year to year, from country to country. And this is the result of many implications that we have to deal with. So if, for example, in a country like Romania, it makes practically more sense to go a little bit slower due to the fact that there are many inherent problems short term into the country. We speed up another story in another area. But all in all, we are there to stay in Romania. We are doing deals every day. And we are rolling stores in line with our general plan. This cannot be questioned or interfered, but the timing varies.
Fani Tzioukalia: Yes, please allow me to quickly quote a press release dated on September 9 of this year that you currently operate 20 stores and 1 online store in Romania, while the strategic goal for the next 8 years is to double the store network. I'm referring to this specific comment dated September 4, which is 3 weeks ago.
Apostolos-Evangelos Vakakis: This is what we said. What are you saying? I don't know.
Fani Tzioukalia: No, no. In yesterday's press release, you're indicating 1 store per annum, which is contradicting a press release from the company 3 weeks ago. But -- if you can provide some color on that.
Apostolos-Evangelos Vakakis: Our view is when we talk about the future, the maximum is 18 months, not 8 years. And therefore, it is more than fair to indicate that we are going through a period in Romania, but it makes more sense, for example, to buy stores rather than open stores. While in other areas that are doing better, it makes also sense to open stores rather than wait for a little bit later. But all in all, we are not -- I don't feel that we are deviating from our plans as we go forward. But I have to bring to your attention the vagueness of the international environment. I personally have lost contact with what goes around in the world. I really don't know what is the issue with tariffs, whether they exist, whether they don't exist, whether they have been postponed, whether this, whether the other. So it's -- our operation currently is from day-to-day and week-to-week. If one wants to start addressing months or years, it is something that he may be exposed into something that he said and he shouldn't have said it. But all in all, we are giving a picture for the years to come. And this picture will not change unless the world changed.
Fani Tzioukalia: Okay. And where is the next store opening in Romania? In which city?
Apostolos-Evangelos Vakakis: Pardon?
Fani Tzioukalia: In which city is the next store opening in Romania? Is it Baia Mare or where should we expect that?
Apostolos-Evangelos Vakakis: Yes, Baia Mare, probably would be the next one. And then we have [ Cluj ]. Currently, we are negotiating in many other locations. As I said, this is an ongoing exercise, but I must repeat constantly that we are not buying our turnover. We are directing generic growth as we go to the future where we feel it is best-suited.
Fani Tzioukalia: Okay. And one last question from my side. And how do you see competition in Romania evolving with -- in terms of Action Group and other competitors as well?
Apostolos-Evangelos Vakakis: Again, can you repeat the question, Fani?
Fani Tzioukalia: Yes. Sorry, yes, my question is how do you see competition in Romania evolving? And what is your target versus others? What is the strategy around that, competition in Romania?
Apostolos-Evangelos Vakakis: Romania as in country has slowed down because of political turbulence there. The size that we have is not so big in order to have anything to do with competition like that. We are way -- we have a long way to go before we start involving ourselves with worries of this nature.
Fani Tzioukalia: So you don't feel any effects from the competition for now -- at least for now?
Apostolos-Evangelos Vakakis: What we face in Romania, also the competition faces. It's no secret that Romania is going through some turbulent times currently because of the political situation there. And we only had announcement 1 month ago about the VAT change, about the squeezing financing and the rest. Yesterday, I just happened to be in Romania. I've heard that the next Prime Minister, who comes from the left, will take back the VAT and will take -- will distribute money to people, things like that. So I think we really don't pay too much attention to what people are saying. My feeling is that definitely better times will come for Romania. But when that would be, is anybody's guess. As far as we are concerned, we are still at the beginning of an effort, not at the end of an effort.
Fani Tzioukalia: Okay. And the last one from my side, apologies for taking so much time. Can you please reiterate what was the net profit guidance for 2025?
Apostolos-Evangelos Vakakis: The what?
Fani Tzioukalia: The net profit indication for 2025?
Apostolos-Evangelos Vakakis: We have indicated in our announcement, but we are working very hard to par the number to last year's number for organic, of course, unless we have another catastrophe in one of our stores, and we can make something in addition to that. But the odds are that to improve on last year's profitability is a very, very difficult exercise. It's not impossible, but one would say that we have a 49% chance of achieving that and not a 51%. And as a result of that, we have to say the reality as we read it and as we interpret it, and everybody must make his judgment accordingly. I keep repeating on all our encounters that we always give our budgeted numbers as guidance. And theoretically, this is a little bit conservative, but as conditions continue to be vague and deteriorating, it's anybody's guess whether this traditional approach is very meaningful or not. In a few days, we will announce the September performance that includes also the back-to-school period. And then we have to run for the finish, which is December period.
Fani Tzioukalia: Which should be in the range, I think it accounts additionally for around 25% to 30%, let's say, of your total turnover, is that correct?
Apostolos-Evangelos Vakakis: I don't know, I am not very good at maths. Whether it's 20% or whatever, I really -- usually 17%, I think is December, up to 4% for November and October, 8% and 17%, 25%, 26%, 27%, around that.
Operator: The next question comes from the line of Stamatios Draziotis with Eurobank Equities.
Stamatios Draziotis: Yes. Can I take you back to the gross margin question and the drivers that led to the decline in H1. I mean, we have several things that might have affected like pricing decisions, product mix, or the franchise mix. And actually, you mentioned the latter, but given that franchise sales are still a very small part of group turnover, I would have thought that the impact there is limited. So could you maybe elaborate on to what extent each of these factors led to the gross margin decline, please?
Apostolos-Evangelos Vakakis: We have given this information in our announcement. And as a result of that, everybody can make his math on that. To repeat it once more, I have difficulty to understand what exactly is the purpose. We have provided all this information directly or indirectly to analysts so they can do the numbers in a better way for them.
Stamatios Draziotis: That's fine. That's fine. Can I ask another question? Because in your statement, you actually highlight that the benefit from the depreciation of the U.S. dollar will become visible in H2. Yet, at the same time, the message around full year profitability, which assumes which points to a decline -- actually points to a decline in H2. So you say if sales -- the sales trajectory remains at plus 8%, then profits will be at par at least year-on-year. But this actually points to a decline in H2 profits, although you will have the benefit from the depreciation of the U.S. dollar. So could you maybe help us reconcile these 2 messages and explain what -- how you're thinking about the bridge from H1 to full year, please?
Apostolos-Evangelos Vakakis: To think what? I'm not very sure what your question is. If you ask analysts, I would say, 51% say that the dollar would be weakened further. So that's a good sign for us. And that will help the gross margin as we go forward to the end of the year as well as to the first part of next year. At the same time, I have also heard Trump's suggestion to the world to put tariffs on China and India and all the rest of the world because they buy cheap petrol from -- so really, it goes beyond that. If I could participate in this sort of complicated world in a productive way, I wouldn't be selling toys. I would be doing a better thing in my life. We really believe that unless we have something which is unexpected or mind blowing, which is anybody's guess what will be the next step, we are as good as any to support the numbers that we have already indicated. But as I keep saying, I am not the one who makes the decisions. We are just in line with the decisions taken by others.
Operator: [Operator Instructions] Ladies and gentlemen, there are no further audio questions, and we will now move on to our webcast questions. The first webcast question comes from Iakovos Kourtesis with Piraeus Securities and I quote, "Can you please clarify if we will have any store openings by year end?"
Apostolos-Evangelos Vakakis: We have store improvements going through that would add sale areas at the expense of warehouse areas, but no further store opening for this year.
Operator: Second part of my first question is, and I quote is, "Do you have any update on Fox Group's plans to open franchise stores under Jumbo brand name in Canada?"
Apostolos-Evangelos Vakakis: Yes. The Fox has indicated their interest. We have negotiated a contract. And according to their plans, they believe that they can make it possible at the end of '26.
Operator: Third part of the first question, and I quote, "Can you quantify the annual amount that you will save in your OpEx from the acquisition of the 4 leased stores in Greece this year?"
Apostolos-Evangelos Vakakis: If I can quantify what?
Operator: Can you quantify the annual amount that you will save in your OpEx for the acquisition of the 4 leased stores in Greece this year?
Apostolos-Evangelos Vakakis: The answer is no. We really don't go into such detail. The process is very simplistic. During crisis, we try to obtain the best possible price. We can buy an asset. And hopefully, that will help us reduce our OpEx. But by how much depends how many -- when deals would be completed, as an average, how much. We don't over analyze this. I think it's counterproductive in my mind. It's a direction what matters, not so much the actual numbers that make that difference. Plus, of course, our long-term strategy is that we want a well-capitalized company that fully owns all its stores. And practically, that will help us be alive for many, many years to come. And if that is not possible to be alive when other people are dead. We would be the last to die.
Operator: Fourth part of the first question, "When exactly did you plan to commence the construction of the 2 distribution centers?"
Apostolos-Evangelos Vakakis: The first one, we will cut ground in a month or so. On the second one, we are still negotiating the price of the land. Distribution centers is an investment towards improving our productivity. And as a result of that, it is, let's say, an investment worth executing. Really, we don't lose too much sleep on that. Theoretically, we will not enjoy the services of the first new distribution center before the end of '27. And most probably the second one would be one year later. But we will be constructing both in parallel with a gap of, I think, 9 months, the one before the other.
Operator: The next webcast question comes from George Athanasakis with Pantelakis Securities, and I quote, "What after-tax margin do you make on franchise sales, including the royalty fee you are getting on their sales? Do you extend any credit to them? Do you invest any capital at all in franchises?"
Apostolos-Evangelos Vakakis: The idea is to have, what we call, zero risk, although such a notion does not exist because as franchisees grow, we need to grow our infrastructure to support them, but we charge them accordingly. And theoretically, we can shrink if this infrastructure is put into question for reasons that have to do with the country that we are dealing. We don't lend money to anybody. We only get cash for it. And the idea we have is that unless Europe finds its footing, we really don't have, let's say, an easy source of income to help us manage the numbers of the Greek company because the Greek company is faced with many challenges, like, for example, that we don't have an improvement in the birth rate or a visible improvement on the disposable income. Therefore, everything that we can do to keep us healthy, but always with relatively very close to zero risk, we will take it. But we don't really see it as anything more than that because we are not in control of this process ourselves. And that's the reason we are franchising it. We don't want to be deviated from our course of action.
Operator: The next webcast question comes from [indiscernible] and I quote, "What proportion of the sales are from franchisees? In other words, what proportion of the volume and sales comes from franchisees."
Apostolos-Evangelos Vakakis: We have provided this information. One can read it in the report we have taken out. Out of hand, I don't have this information.
Operator: The next webcast question comes from Gregory from [indiscernible] Partners and I quote, "When you say net income organically, you mean excluding the insurance proceeds, why would that be flat year-on-year for the year when it was 5% in first half and the benefits of currency should be stronger in second half?"
Apostolos-Evangelos Vakakis: Because it is common knowledge, I think, that people should not be optimistic about the future. People should be really cautious about the future. And that's the reason we always take a very cautious approach. That doesn't mean, of course, that we are not optimistic because we remain optimistic. We do understand that we have to grow. We do understand that we have to increase our footage on new stores and things like that. But during turbulent times, like the ones we are going through, optimism may be a fatal disease, while pessimism is a much more prudent approach. I keep repeating to people that we have to be very, very, very cautious on every decision we make in order to be able to support what we have promised. Now if we can -- if you can assure us that we will do better, you would not take it from my mouth this. It may or it may not, but the probability is 49%, that it will happen, not 51%.
Operator: The next webcast question comes from [indiscernible] and I quote, "How can we imagine the difference between gross margin of franchise and the ordinary shops?"
Apostolos-Evangelos Vakakis: On franchisees, we make 3 or 4 points on the turnover with franchisee. Thus, we charge them at cost for handling their orders and internal cost, which contributes to our overheads as well. This is what we make out of a franchisee. So practically speaking, a franchisee is a contributor to our overhead bill. It is not a vehicle to reach it.
Operator: The next webcast question is a follow-up question from [indiscernible], and I quote, "Can you elaborate on your hedging policy? And what is the likely evolution of profitability for second half and 2026?"
Apostolos-Evangelos Vakakis: We don't have a clue. We don't have a clue if you give me what's the cost of transport would be, if you give me what the exchange rate would be, it is -- it would be very helpful to us. But since nobody knows that, what we said is that currently, we have tailwind on these cost parameters. But let's say, in the future, either in the near or longer than the near -- in the mid- or long term. We may also face a headwind as well. If we look at it statically, theoretically, we are in a better situation than what we were a year ago.
Operator: The next webcast question comes from [indiscernible] with [ MSC Invest ], and I quote, "Why did the inventories rise so much?"
Apostolos-Evangelos Vakakis: Because conditions have turned in our favor. And as a result of that, the more we have product and the less we have money, we can hedge better our future results. The problem is that we were near capacity. We cannot buy more because we cannot handle it. But if I was given the choice, I would have bought double or 3x, but we cannot support this desire. We have to balance many parameters in order to bring something that makes sense. So a growth in the region of 20% or whatever is, I would say, the maximum safe growth without really putting into jeopardy a fundamental parameter or a hidden treat.
Operator: The next webcast question comes from Maksim Nekrasov with Citi and I quote, "Do you plan to pay dividend in second half 2025?"
Apostolos-Evangelos Vakakis: The answer is no. We cannot do all things at the same time. What we have said is that we are beefing now. We have paid 2 dividends. We have indicated that it is our strategy to pay 1/3 of our total profits in dividend the years to come, average year after year. If conditions are bad, we buy all stores. If conditions are good, we may pay a little bit more. But as I keep saying, I have difficulty to understand how conditions will be good. In order to be good, something must change, which is productivity. Everybody tries that, let's say, decisions that are taking centrally from government do not help productivity. So we don't have tailwind. We have only tailwind because of the currency and the transport cost. But this made them against us very easily. We have a very good cash flow situation. But this may change if we face tariffs or things like that. Really, it goes beyond our capacity to make a guess or to take a bet. As we stand today, of course, since we have tailwind, we are buying as much as possible. And we are hedging, let's say, the year-end results and the first part of next year's results. Beyond that, it wouldn't be very prudent to pre-anticipate things because conditions may get even better or may get worse. So it's a wait-and-see situation.
Operator: The next question comes from Zara C. with Lazard Asset Management, and I quote, "Please, can you further elaborate on why macro weakness in Romania and Israel is affecting the gross margin? And are you investing in price? Or is the mix less favorable because, for example, consumers are down-trading?"
Apostolos-Evangelos Vakakis: As I said, the government in Romania increased the VAT by 2 points. So we had an impact on our gross margin by 10%, practically. And on top of that, it has rebalanced the various VAT on products against the consumer. Why they have done that? Hopefully, they know what they are doing. Only that affected our gross margin, all other things equal to -- during a turbulent time like in Romania to attractively about the future. I don't recommend it to anybody to do so. It is the first penguins that are eaten by the whales that jump into the water. Once the whales are well fed, then of course, penguins like ourselves would jump also into the water, but later, not -- we are not having any sense of heroism into that. And if one suggests that one should adjust prices upwards in an environment that has not consolidated recent developments in Romania, it's not a good advice. Bear in mind that we are making a huge gross margin, okay? So to be greedy, one can have dear consequences. So better be stupid than sorry.
Operator: The next webcast question comes from Will James with Guinness Global Investors, and I quote, "What was behind the very strong growth in sales to franchisees in the first half 2025?"
Apostolos-Evangelos Vakakis: The flow of products has improved into our warehouses, allowing us to grow, ship more to franchisees without this affecting our core business. There's no magic to that. It's a byproduct of improving conditions in the transport equilibrium.
Operator: The next webcast question comes from Ali Amiri-Garroussi from Polar, and I quote, "You are guiding 2025 to March 2024's net profit number. Should we be looking at 2024's net profit, including the insurance receipt of EUR 320 million, or excluding it, EUR 310 million of the targets?"
Apostolos-Evangelos Vakakis: Excluding. We said that we will compare apples with apples. We cannot compare a windfall that happened because of an accident. But let's hope that we may have another accident this year or two accidents and make more money, but not yet.
Operator: The next question comes from [ Gregory ] with [indiscernible] Partners, and I quote, "I may have misunderstood, if so, sorry. You mentioned the time is not right for opening as many stores in Romania, but maybe buying stores. Do you mean buying the real estate of the stores you already own or buying stores from existing stores and renovating them to be Jumbo stores?"
Apostolos-Evangelos Vakakis: What we practically say is that we don't leave an opportunity to pass. If one of the rented stores is offered to us at the price that makes sense and the price that makes sense is that it contributes towards overheads. So less rental costs. So practically more contribution towards inefficiencies on the operating level. On top of that, definitely, since we have a growth plan for the future, we try to locate locations, whether that's our building that we will renovate or pieces of land. But again, at the price that makes sense because the long-term expectancy of things to happen is that it's not in our favor, this thing. So we really have to utilize opportunities in order for us to make a move that makes sense and not having to buy our turnover, even if buying our turnover is cheap due to our cash flow availability. I keep saying to people that we act like we are a very poor company. We don't exercise our strength by putting into the test our liquidity.
Operator: The next question comes from Vitalie Crestianov from Global Alpha Capital Management, and I quote, "Could you elaborate on your vision for the franchising business, specifically the scale and size you aim to achieve, the markets you see as most attractive? And how the economics work from Jumbo's perspective?"
Apostolos-Evangelos Vakakis: I said and I keep repeating that this is just a plus business, which contributes to our overhead costs. That doesn't make sense to go beyond that because it is an operation which is not controlled by us. It is controlled by third parties in third countries where we have limited control. So for me, we have to balance our need for additional income, but at the same time, not at the expense of increasing our risk. The future of Jumbo is not through franchising. It is by generic growth in countries that we involve ourselves directly.
Operator: The next question comes from Maksim Nekrasov, and I quote, "Should we expect dividends in line with free cash flow going forward? Or you plan to increase cash balances going forward?"
Apostolos-Evangelos Vakakis: In my -- in the back of my mind, I've said before and I repeat it all the time, we try to form a company that will last many, many years as we go forward. To do so, at the end of this exercise, we need to own the stores that we operate on. We need to keep having relative generic growth and at the same time, hold a lot of cash in our hands in order to sustain and foresee favorable -- unfavorable events if they come. So if one says, are we profit maximizers or profit satisfiers, the answer is that we are profit satisfiers. We want to run this company like a plane and not like a rocket. And this will not change as long as I'm running the company. We have been inspired by Japanese companies that have survived both World Wars very easily. And by studying them, we have found out that they were cash rich because if things go bad, money is a very important factor to stay alive. And we will not commit funds just to have, let's say, marginal improvements in our short-term performance.
Operator: The next question comes from Shipra Agarwal from Goldman Sachs Asset Management, and I quote, "Can you talk about competition from Chinese marketplaces in your markets? And what is your strategy to design your business?"
Apostolos-Evangelos Vakakis: Our belief is that competition is a good thing because it awakens companies to do better and improve their productivity. So the more competition, the better, not the worst as long as companies are alive and they have not done mistakes -- strategic mistakes in the past. Jumbo has proven over the last 30 years or whatever that this is a parameter that we very strongly protect. And there may be unfair competition coming out of China on some aspects of our business like, let's say, companies like [Temu or Shein ] or whatever. But I'm sure that this has been detected both in the States and Europe. And soon, there will be measures to counterbalance that and force them to compete at arm's length with the competition. We don't worry about competition, which is fair and in favor of the consumer. We only reject competition, which is unfair, that they take advantage of loopholes. But from my experience, sooner or later, these loopholes will close because if they don't close, then they may have an impact, but I don't believe that countries will stay idle to that.
Operator: The next webcast question comes from Constantinos Zouzoulas with Axia Ventures Group, and I quote, "First question, regarding franchisee business, is there any -- is there an optimal number of franchisee stores Jumbo can support on the current strategy?"
Apostolos-Evangelos Vakakis: I would say less than more. Hopefully, we want our infrastructure to support our growth and not franchisees growth. But for us, it's a hedge because if for whatever reason, our growth is not as strong as we would have liked it, then we can ship more to the franchisees.
Operator: Second question, "Could you remind us the current route of products from China to Greece?"
Apostolos-Evangelos Vakakis: What?
Operator: Could you remind us the current route of products from China to Greece?
Apostolos-Evangelos Vakakis: The route, you mean?
Operator: Yes, yes, the route.
Apostolos-Evangelos Vakakis: The Suez Canal has not opened for container ships. It may open today or tomorrow or in a month or in 1 year, it's anybody guess. But definitely, one day it'll open. As we see today, it is not such a big problem because there is overcapacity of ships serving a Spartan demand. And therefore, let's say, it helps everybody to relax a little bit. But I'm sure market conditions will change in the future. The Suez Canal would be given back to the ships -- to the world routes. And as a result of that, time spans would improve. On average, today, we have almost 50 days, but we have to wait for transport period from China to the Mediterranean, for example, as they have to go through Africa.
Operator: The next question comes from [indiscernible] with Taro Capital Management, and I quote, "Could you elaborate on Romanian VAT increase in gross margin impact? And from what you are saying, you are not transferring these costs to the end consumers, even though it -- this is, in fact, a consumption tax. What are the main factors that limit Jumbo's pricing power in Romania?"
Apostolos-Evangelos Vakakis: All costs at some stage need to be passed to the consumer. Otherwise, the company would face problems. But as I said, retail is not a proactive business. It's a reactive business. The example I mentioned with the penguins. You don't jump first to balance your act. The later the better.
Operator: Ladies and gentlemen, there are no further questions at this time. I will now turn the conference over to Mr. Vakakis for any closing comments. Thank you.
Apostolos-Evangelos Vakakis: If I want to make one general comment, I would say that we remain optimistic, but at the same time, very, very cautious not to have a cost out of this optimism. So although this sounds a little bit as too much of a political position, we have to find balance in this act. In my view, and if we talk about the very short term, which is the period up to December, a feeling we have is that as we are today on the 24th of September, we are a little better than what we were yesterday. But September 25 or 26 could be something different that we find out from the news. So we don't really want to sell the company or whatever. I'm really getting a bit suspicious why we are the only company around that says the obvious, why all other companies don't see part of the risks currently circulating around? And by saying the truth is this a good thing or a bad thing? And I have always raised this philosophical question. And the answer is that the truth takes you longer and helps you really focus on your business than anything else. So I want to finish today's presentation by saying that we don't have to say anything more than what we have said already and have published already. And there is no hidden element in what we are saying. But as a personal view, of course, I'm a pessimist myself, things are not as we have liked them to be irrelevant of the fact that for one more year, we may be proven wrong. I don't know if I'm confusing people, but this is how I feel and I have a platform to express it here that people should really be very careful, but not for us, for the world as it evolves. For us, we are as good as any. Thank you very much, and good afternoon.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect your telephone. Thank you for calling. Have a good afternoon.